Operator: Ladies and gentlemen, thank you for standing by. This is the conference operator. Welcome to the Barrick 2017 Third Quarter Results Conference Call. During the presentation, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded and a replay will be available on Barrick's website tonight October 26, 2017. I'd now like to turn the conference over to Kelvin Dushnisky, President. Please go ahead.
Kelvin Dushnisky - Barrick Gold Corp.: Good morning, thank you for joining us. Before we begin, I'd like to highlight that during this presentation, we'll be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. A review of our most recent AIF will provide you with a more complete discussion. I'm here today with our Chief Financial Officer, Catherine Raw; our Chief Operating Officer, Richard Williams; and our CEO of Barrick Nevada, Bill MacNevin. As has become our practice, our other general managers and members of the Barrick team will also be available for questions following the formal portion of the call. As we indicated in our second quarter results call, production levels were expected to be lower and cost higher in the third quarter relative to what we expect in Q4. In the third quarter, our operations delivered production of 1.24 million ounces of gold and in-all sustaining costs of $772 per ounce. As our full year anticipated performance has become more clear we've narrowed our gold production and cost guidance ranges to reflect our latest expectations for 2017. Catherine will speak to these updates in more detail. During the quarter, we generated operating cash flow to $532 million and free cash flow of $225 million. Our free cash flow breakeven for the quarter is $1,037 an ounce. Strong cash flow generation has allowed us to increase reinvestment back into the business. During the quarter, we continued to progress our pipeline of low risk, organic expansion and extension projects located at or near our core operations. They continue to advance according to schedule and within initial capital estimates. These four projects Lagunas Norte, Turquoise Ridge, Goldrush and Cortez Hills Deep South have the potential to contribute more than 1 million low cost ounces of production to our portfolio beginning in 2020. In addition, we've made significant progress on a prefeasibility study for the Pascua development of an underground block caving operation, Pascua-Lama. And Richard will touch our progress on this in a few minutes. Achieving and maintaining a strong balance sheet continues to be a top priority. During the quarter, we reduced our total debt by almost $1 billion. So far in 2017, we reduced our total debt by nearly $1.5 billion, already exceeding our target of $1.45 billion for the year. Our commitment to operational excellence in maximizing the productivity of our operations has not changed. As part of this effort, we continue to advance the implementation of our digital transformation in Nevada, which started last year. Richard and Bill will cover the progress we've made in more detail. And finally, we continue with our intensive focus on talent development from Barrick's own Leadership Academy to our partnership with the Cisco Networking Program. Our goal is to continuously train and upgrade talent to develop the next-generation of Barrick leaders. Now before turning to Catherine, as you know, last week Barrick reached an agreement on a framework for a new partnership between Acacia and the Tanzanian government. Richard has been leading the discussions with the Tanzanian government, and he'll provide an update during his remarks. With that, I'd like to hand over to Catherine to provide more detail on our financial results for the quarter.
Catherine P. Raw - Barrick Gold Corp.: Thank you, Kelvin. In the third quarter, we reported a net loss of $11 million or $0.01 per share and adjusted earnings of $186 million or $0.16 per share. Net earnings were impacted by tax provision of $172 million, related to the proposed framework for Acacia's operations in Tanzania that Richard will cover more on in his remarks. Adjusted earnings for the quarter were lower than the prior year period, primarily due to lower gold production, lower gold prices, as well as the impact of Tanzania's concentrate ban on Acacia. As Kelvin mentioned, our operations generated operating cash flow of $532 million and free cash flow of $225 million. Operating cash flow came in lower than the prior year, primarily because of lower gold sales, higher cash taxes paid this quarter given we benefited from an income tax refund in Q3 2016, and higher operating costs. Our lower free cash flow year-on-year, defined as operating cash flow less CapEx was also impacted by higher capital spend during the quarter, as we continued to reinvest in the business. We allocated more capital to our pipeline of projects, mainly at Barrick Nevada, where we increased our project CapEx relating to development of Crossroads open pit, Cortez Hills at Lower Zone, and the Goldrush project. And now to the balance sheet, as Kelvin mentioned, during the quarter, we exceeded our debt reduction target for the year. We used the make-whole provision to fully repurchase approximately $731 million of 2023 notes, and we fully repaid the amounts outstanding on our Pueblo Viejo project financing facility, approximately $267 million. We incurred debt reduction total loss of $101 million in the third quarter and that takes it to a total of $127 million for the full year. Annualized saving on debt repayments, since 2015, now total to about $300 million per annum. At the end of Q3, we had $2 billion in cash and a fully undrawn $4 billion credit facility. We have around $66 million of debt due before 2020, excluding capital leases. And as you can see the majority of our debt is due post 2032. And this reinforces that the actions we've taken to-date have significantly reduced the risk of the business. And we're now in good shape to deliver on our projects, whilst weathering any future gold price volatility. So Kelvin mentioned, we updated our 2017 outlook by narrowing our production cost guidance ranges, mainly to reflect our increasing confident in our full year results as we near the end of the year. Gold production guidance was narrowed and the top of the range was lowered slightly to 5.3 million to 5.5 million ounces. We've narrowed our cost of sales guidance to $790 per ounce to $810 per ounce. Our cash cost and AISC guidance are slightly laid in the bottom end of the ranges to $520 an ounce to $535 an ounce and $740 an ounce to $770 an ounce respectively. Copper production guidance, we've narrowed to 420 million to 440 million pounds. Cost of sales per pound and C1 cash costs were raised to $1.70 per pound to $1.85 per pound and $1.60 per pound to $1.75 per pound respectively; and mainly this is a result of higher costs from Lumwana in Zambia. More detail specifically on the changes of site guidance are outlined in the MD&A. We also now expect capital expenditure for the year to be between $1.35 billion to $1.50 billion after narrowing the range from $1.3 billion to $1.5 billion, and that's really just based on our spend here today. With that, I would like to hand over to Richard to provide more detail on operations.
Richard J. Williams - Barrick Gold Corp.: Hey, thanks Catherine. Just before we get into the operational updates I wanted to touch on the proposed framework between Acacia and Tanzania. As you know, Barrick and the government of Tanzania have agreed on a framework for a new partnership between Acacia and the Tanzanian government, whereby economic benefits generated by Acacia's operations would be split with Tanzania on a 50/50 basis going forward. Delivered in the form of royalties, taxes and a 16% free carried interest in Acacia's Tanzanian operations, in line with the country's new mining law. The proposed framework if adopted would fundamentally redefine Acacia's relationship with Tanzania for the long term, delivered by radical transparency, which then over time builds exceptional trust. The proposed framework also calls for $300 million to be paid towards the reservation of outstanding tax disputes. The payments will be made over time and applied towards any ultimate resolution of the tax claims. A joint working group of government officials and company representatives are working to establish the final resolution of these tax disputes. There is also a working group to establish protocols that will facilitate the lifting of the concentrate export ban such when this includes verification of ship and processed metal content. We believe that the proposed framework represents the optimal path for the resolution of outstanding disputes between Acacia and the government of Tanzania, and for the resumption of normal operations. Barrick has provided the proposed framework to the independent directors of Acacia. We now intend to work with the government of Tanzania to complete detailed documentation and final agreements. These final documents will be provided to Acacia for review and their approval. Our understanding is that a shareholder vote will be required, and Barrick intends to exercise its voting rights in that process. We believe that this whole process will be completed sometime in the first half of 2018. But now on to third quarter operating highlights; as Catherine has outlined, and I'll repeat here. Our Q3 gold production was 1.24 million ounces at an AISC of $772 per ounce. Production during the quarter was impacted by lower planned ore grades, mainly at PV, Hemlo and Lagunas Norte. And the increase in AISC reflected the impact of fewer ounces sold, combined with higher direct mining costs and higher depreciation, mainly at Veladero. As we had previously indicated, production levels were expected to be lowest in the third quarter, and we continue to expect production and lower costs in the fourth quarter, as Kelvin outlined, we are on plan. Copper production for the third quarter increased by 15% year-over-year, primarily due to higher production at Lumwana, as a result of operational initiatives to reduce downtime combined with higher production at Jabal Sayid as the site was ramping up production. Copper all-in sustaining costs were 11% higher quarter-over-quarter, primarily reflecting higher depreciation expense and an increase in power, freight and maintenance costs at Lumwana. Now our vision as you know is to be a leading 21st century company, where we continue to relentlessly pursue asset optimization and cost reduction. As our mines continue to evolve and our ore types change and license to operate costs increase, our focus on innovation and digital transformation is critical to maintaining this long-term and sustainable vision. As you know, Cortez has been the pilot site to test our digital transformation in the field. During this we've been very agile in our approach and capturing wins along the way. Our short interval control product designed by ourselves is providing significant benefit and is now a product that is scalable to all of our underground mines. We are concurrently with designing and rolling out these projects rigorously tracking the benefits of each. As an example, the underground short interval control at Cortez delivered an incremental 360 tonnes per day in September alone. And this was accomplished, if you like the detail, through increasing effective shift duration and reducing delays in the holding cycle of the truck and the mining cycle for other pieces of equipment. Along with this, our test of an automated underground jumbo has also been successful. The autonomous jumbo has provided reduced over break and drill bit consumption, along with the ability to drill through shift change. The underground semi-autonomous loader is another example that continued to show excellent results. And in September, the loader moved an incremental 187 tonnes a day. We're designing the mine now to capture the full benefit of this machine and its ability to run autonomously from the face. We recently moved to a mature product for Digital Work Management app, which we've branded the Forge. This is a Barrick coded app that takes the paper work orders and standard job plans and digitize them for use in the field. And those that visited us in Nevada in June, saw some of the early concepts; we're now rolling that out. And it's currently in use at our Cortez mill and Cortez open pit, and enables us to complete our maintenance task with higher quality and in less time. Ultimately increases effective wrench time, allowing for more maintenance activities to be completed. Our Nevada sites have tested these and other digital products, and they are coronating now (14:37) implementation plans will be included in their life of mine plants. Our aspiration is, for these digital products to enable our people to unlock their full potential for real time database decisions. We are very pleased with the progress thus far, and look forward deploying digital solutions across the existing business, and within all of our future projects, dramatically changing the value proposition. As both Kelvin and Catherine have mentioned, our focus on cash flow generation has allowed us to increase reinvestment back into the business, vital. And during the quarter, we continued to invest in our pipeline of projects. Feasibility level projects at Cortez Deep South, Goldrush, Turquoise Ridge and Lagunas Norte continue to advance on schedule and within budget. And we continue to advance a pre-feasibility study for the development of an underground block caving operations at Pascua-Lama. Regarding our four organic projects, Bill MacNevin will provide you with an update on Cortez Deep South and Goldrush during his remarks. But I wanted to briefly touch on the status of the third shaft construction at Turquoise Ridge and the phased approach we're taking to extending the life of mine at Lagunas Norte. So, at Turquoise Ridge during the quarter, surface preparation works began, including earthworks, setting up storm water diversion infrastructure and extending utilities to the shaft site. Contracts and materials to support electrical distribution, water handling and sewage have been purchased, and a tender process is now open for the shaft sinking contract. Subject to funding approval, construction on a third shaft could begin in the second half of 2018, with initial production being from 2021 to 2022. Now on to Lagunas. We are advancing a phased approach to extending the life of mine by optimizing the recovery of carbonaceous oxide ores, followed by mining and processing of the refractory material, as we have told you. The first components of the project will involve the construction of a grinding and carbon-in-leach processing circuit that would treat remaining carbonaceous oxide material at Lagunas. Environmental permits for these facilities are already in hand. Subject to completion of the feasibility study and a positive investment decision and the receipt of construction permits, work on these facilities could begin in late 2018, with first production in 2020. Construction of the flotation and pressure oxidation circuits would follow this, subject to Environmental Impact Assessment approval and approval by the investment committee. Work this year has been mainly focused on completing a feasibility study, including additional drilling to improve ore body knowledge and further metallurgical testing. Let me also take a moment to comment on Pascua-Lama. We have made significant progress on the pre-feasibility study for the development of an underground block caving operation at Pascua-Lama. In order to complete this, we are undertaking a number of optimization studies, along with a focused drilling campaign during the 2017/2018 summer season ongoing. Previous drilling on the deposit was primarily undertaken in support of open pit mining plans. Therefore, this campaign will focus on improving ore body knowledge on the Argentinean side of the deposit where further data is needed to validate underground development plans and metallurgy. As we have said in the past, we will only proceed if we have a high degree of confidence that the project meets our investment criteria. With that, I'd like to hand over to Bill MacNevin to discuss Barrick Nevada organic growth projects and the results for the quarter. Bill?
Bill MacNevin - Barrick Gold Corp.: Thanks, Richard. Starting with Cortez Hills Lower Zone, we've completed the feasibility study and have submitted it for internal review. The range front declines are progressing well with the project standing at 44% complete overall. East decline is 62% complete at 4,900 feet and the West decline is 21% complete at 1,500 feet. Mass excavation of major construction work has commenced, including ore handling, shotcrete and a fuel bay. Contractors have been selected to support further construction work and additional mass excavations. We're utilizing a road header to complete this work, and have been pleased with the advance rate, as well as the limited over break using this machine. At Goldrush, site preparation has been completed and portal pad construction has commenced for the exploration decline. As shown in the pictures, significant progress has been made. The exploration decline will provide access to the ore body at depth, which will enable further exploration drilling. This decline can be converted to a full production decline in the future. During the fourth quarter, we will be focused on advancing the portal pad construction and selection of a contractor for the decline development, which is scheduled to commence in early 2018. Now, on the results for the quarter. Barrick Nevada had a strong third quarter. Q3 production of 520,000 ounces, 5% lower than the same quarter a year ago. This is the result of processing lower grade Goldstrike open pit stockpiles at the Roaster. Year-to-date gold production of 1.782 million ounces is 15% higher than a year ago, costs of sales was $762 per ounce and AISC of $597 per ounce, which is 2% lower than Q3 of 2016. As a result of increased confidence in our full year results, as we approach the end of the year, we've narrowed our production guidance to 2.28 million to 2.32 million ounces, at a cost of sales of $790 per ounce to $830 per ounce, and a narrowed AISC of $620 per ounce to $650 per ounce. With that, I'd like to hand back to Kelvin for some closing remarks.
Kelvin Dushnisky - Barrick Gold Corp.: Thank you, Bill. So in closing, I'm pleased that at the end of the third quarter, we're tracking as expected toward our full year target. We continue to focus on delivering positive free cash flow. And with our debt reduction on track, we are well-positioned to advance our opportunities to sustain and grow the business into the future. Thank you. And now I'd like to open the call for questions.
Operator: We will now begin the question-and-answer session. The first question comes from Chris Terry with Deutsche Bank. You may go ahead.
Chris Terry - Deutsche Bank Securities, Inc.: Good morning, guys. Thanks for hosting the call. Couple of questions from me, just in terms of the overall costs trajectory, just interested in some comments on where you think you're at versus where you'd like to be, I know going towards $700 an ounce AISC longer-term. Is that still on track? Or if you're seeing more opportunities than what you would have originally thought on the technology side? Just broadly costs within the industry, and what you're seeing from inflationary point of view and further opportunities?
Kelvin Dushnisky - Barrick Gold Corp.: Thanks Chris. Look we'll turn that to Richard Williams.
Richard J. Williams - Barrick Gold Corp.: Okay. Thanks very much, Chris. A couple of points, firstly, you are actually right, there has been cost inflation from the supply side, and we're going to be seeking to push back down over this period. My view on cost inflation is based around the fact that supplies have looked forward at the gold price and realized it's flattening, whereas a couple of years ago there was a potential that it was falling down, now that's their view. And as a result of that they are pushing up the cost of supplies, which is squeezing our margin. The opportunity therefore for us based through next year is, based on a project, where we're going to be integrating across the organization, supply chain and maintenance timing. We can see considerable benefit through 2018 and 2019 for doing that. And we're going to be exercising all our purchasing power strength to drive those prices down. So, that's one lever. Second point on technology, technology, clearly, and the Forge app that I referred to during the brief (23:43), indicates just one way in which this is done. It gives us the kind of precision associated with just in time supply the consumables (23:53) to activities such as maintenance. And we would see considerable benefits of that over the next two years. Now on technology and the digital piece in general. It is moving as fast as we can, but with respect to how I thought it would work a year ago, it's working slower than I would like. And so really when one is looking at transforming an operation like Barrick Nevada from where it has been to a fully digital operation, the timing that you should expect real delivery of the significant adjustments is a three year timeframe, not a one year timeframe. We've been learning this through this year because it's actually relatively straightforward to develop component applications for something like digital work management, but to actually roll them out to ensure that labor practices, it's standardized across all the operations and then they are optimized and then upgraded it's not a two month game. It's at least a two-year game. So, with respect to the delivery of $700 all-in sustaining cost, what I have learned, what we have learned is that just adjusting work practices and driving down input cost is making a significant difference. But what will deliver the step change that is required to get down to $700 all-in sustaining cost, where we are actually reducing the cost of sustaining capital, developing, stripping, as well as internal operational costs that you're all aware of. It's a longer process than we would originally envisioned, because it requires investment in design, investment in training, and investment in scaling and roll out. But I'm very pleased with the progress today. Exceptionally pleased from what we saw in June 30, for those of you who visited us in June, we've moved it on further. So I would say, in terms of trajectory the thing that you should be looking for on a quarter-on-quarter basis is real evidence of the digital returns – forgive me – returns on the digital investment that we're making, particularly in Barrick Nevada and how we're rolling that out to other operations. Chris, I'd hope that answers you question?
Chris Terry - Deutsche Bank Securities, Inc.: Yes. You covered off most of what I was after there, Richard. The last question I had, and it's probably for you as well. Just on Tanzania and the steps you've taken, and appreciate the framework you've provided. Generally these things can be a bit of an overhang on the stocks. So just trying to think about even though it's a small part of the business, just trying to think about the earliest and maybe the latest timeframe, where you'd expect to get resolution from here?
Richard J. Williams - Barrick Gold Corp.: Yes thanks, Chris. And again, we're well aware that – and I'm answering it on this for obvious reasons. And we're well aware of the interest in this because it's critical to a number of things. You talked about stock overhang, but it's critical to our position as a good partner around the world. What one put in ones remarks is we believe that this will be completed through the first half of 2018. And this is a process that is underway. As I outlined in our remarks there is a tax working group that will be reviewing the outstanding claims one by one over time and there is considerable number of these and this will take, you can judge how long that would be. Secondly, with respect to the concentrate ban, which were all keen to get lifted, both us and the Tanzanian government; there is some protocols that need to be affirmed, there is some studies that need to be completed, and there is some testing systems that need to be rolled out. Our team is there right now and will be engaging with the Tanzanian government on this. And we expect that in terms of timetable to be relatively soon. But it would be irresponsible of me to give you any indication as to what relatively soon means because we're in discussions with our Tanzanian partners right now. The other point on timetable, that just gives you two of the levers; the other points on timetable that's worth mentioning too. As there are some as been outlined that – in the proposal is the formation of the operating company within Tanzania and the modalities of that, by which I mean shareholder agreements and all the other associated documentation, also need to be confirmed. Confirmed, in ways, that are then submitted to the Acacia independent directors for their approval, and then any other subsequent vote at shareholder level. This is what with all of these things that need to be done. One says that you should expect this to be completed through the first half of 2018, which gives both the Tanzanian government, ourselves, and really importantly the independent committee of the Acacia board and shareholders to reflect on the opportunity or the risks that this situation proposes. Chris?
Chris Terry - Deutsche Bank Securities, Inc.: Great. Yeah. That gives me what I was after. Thanks, Richard.
Richard J. Williams - Barrick Gold Corp.: Okay.
Kelvin Dushnisky - Barrick Gold Corp.: Thank you, Chris.
Chris Terry - Deutsche Bank Securities, Inc.: Okay.
Operator: The next question comes from David Haughton with CIBC.
David Haughton - CIBC World Markets, Inc.: Good morning, Kelvin, Richard, Catherine and Bill. Thank you very much for the update. And also thanks for the material on your four projects. Just having a look at Pascua, I know that you've got some additional drilling underway this summer, but what sort of timeline should we be thinking about for news flow at Pascua and your thinking about moving into the next step of the studies?
Kelvin Dushnisky - Barrick Gold Corp.: Maybe, I'll start here, and Richard can supplement. Drilling will be done this, the Andean summer, as indicated. From that as we're getting the information, our intent will be to continue to update as we move along and as we have things that are meaningful. So to give you a sense, our estimation would be to probably by our summer next year, we'll have more information to report based on that drilling, and as we move from kind of Q2 to Q3. Richard?
Richard J. Williams - Barrick Gold Corp.: Yeah. I think that's, Kelvin, you've covered it, and David thanks very much for the question. And again, I think we sort of detailed it in our remarks and you understand why we need to do some more drilling. And as you know, the drilling season is, as Kelvin said, ends around March, and we'll get the conclusions for that, which will then factor in to the mine design. But it's not just the mine design too, David, because as you know, going into the underground where it before it was (30:53) moving through the oxide ore giving us time to adjust the processing system to deal with the deeper refractoring. We're going right into the mix. So, consequently, the metallurgical data that's coming out from that drilling results will also factor in to the design of the plan. And so we're not being soft on our timeline. We're being realistic in respect that we're expecting this data to come through in March that will allow us to work through as Kelvin outlined, our summer to be able to complete the prefeasibility study through that timeline.
David Haughton - CIBC World Markets, Inc.: Yeah. So, clearly, mining in ore body from the bottom up as proposed is very different from the top ten, especially when you go through different metallurgical factors there. And, I guess, part of the thinking is that at one stage it mentioned that the first stage plan for the non-refractory material was like 95% complete, but a lot further behind on the second phase for refractory plant. Do you have the components for the phase 2 of the plant available to you or is that additional CapEx?
Kelvin Dushnisky - Barrick Gold Corp.: David, just to put a clarification, I think as far as the 95% complete, that was in respect of the tailings facility that we talked about on the Argentine side, that wasn't on the processing plant, that was more, I think we talked about it being a third, 50% complete on the processing line. Richard, would you like to reflect on that?
Richard J. Williams - Barrick Gold Corp.: That's true. Again, David, you remember the history of the project is – a lot of the facilities were built for the large open pit operation, and as Kelvin outlined the tailings facility is, shall we say in terms of scale, slightly over engineered to what we anticipate a pretty large underground operation will be. The main civil works, so the plant, clearly all – are being completed all the concrete, steel, and so on and so forth. And that provides us a considerable jump up in terms of investment that's already put in there. But with respect to actually the metallurgical design – forgive me, the metallurgical element of the processing plant that can deal with the complex all. This is still being refined at the moment. And again, the more data we get the more precise that refining will be, and clearly, built to the normal prefeasibility study conclusion through next year.
David Haughton - CIBC World Markets, Inc.: Okay. Just moving down the road a little bit, Veladero, it's the first time I guess we have seen the costs on the D&A as a 50/50. The costs were substantially higher than previous, I saw in the text that is like a shopping list of reasons for the OpEx to go up. And I'm just wondering, is that sort of the new normal now for the operating costs and for the depreciation?
Kelvin Dushnisky - Barrick Gold Corp.: David, let me turn it over – we've got the GM for Veladero. Jim, where do you draw the line? Jim, do you want to respond?
James Whittaker - Barrick Gold Corp.: Yes. Good morning. Hi Kelvin, thank you. Yeah, I'm calling here from the Veladero site, I hope you can hear me okay. Just if I could take a brief moment, I think first of all, it's very important to say that at Veladero our key focus is there are going to be in safety environment and in alliances. And after that we'll get into discussions of, obviously production cost and positioning. Two of those things that we're doing right now, as you know we've had a tough time on the environmental side. We've done some good work to sort those issues out, and we're moving forward. But one of the key things that we're doing right now is an overall risk review of the entire operation. And the other thing that we're also triggering is kind of the holistic review of what we can do to reposition Veladero in a slightly lower point on the cost curve; that will take some time. That's going to be about six to eight months of work with aligned supervision and with the people here at the site. Our intention is to get off of that you know $800 to $900 all-in sustaining cost and bring that down a little bit lower because that will guarantee our future with respect to a long-term good cost producer.
David Haughton - CIBC World Markets, Inc.: Okay. So, still work in progress, I guess, is really what you're saying.
James Whittaker - Barrick Gold Corp.: Absolutely.
Catherine P. Raw - Barrick Gold Corp.: And, David, maybe I can just comment on the depreciation question. So, what we've seen is depreciation expense has increased as a result of us fair valuing Veladero for the sale. So effectively, as that price went up, we now have a higher depreciation expense to offset at the time. So that really explains why you've seen that jump on the quarter.
David Haughton - CIBC World Markets, Inc.: So, Catherine then $550 per ounce D&A is the kind of go forward level, we should be thinking about?
Catherine P. Raw - Barrick Gold Corp.: I think for the moment, yes. And if it does change we'll indicate that to the market.
David Haughton - CIBC World Markets, Inc.: That's excellent. Thank you everybody.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, David.
Operator: The next question comes from Anita Soni with Credit Suisse.
Anita Soni - Credit Suisse Securities (Canada), Inc: Good morning everyone. My question is with regards to PV and the sulfur content that you encountered that impacted the throughput. Could you give me an idea of how long you expect that to persist in the magnitude of the issue there?
Kelvin Dushnisky - Barrick Gold Corp.: Hi Anita. I'm going to turn that to Greg Walker, the Executive GM for PV, Greg? We may have some communication problem with PV. Greg was on site earlier. We also have Matt Gili here, our Chief Technical Officer. Matt, can you respond to that?
Matthew Gili - Barrick Gold Corp.: Yes I can, Kelvin. Thank you very much. Yes, thank you very much. So, what happened there is more when you see the MD&A, it is much more about we had a lower sulfur content this quarter last year. So this shows up as a high – it looks higher this year. So we are on a path of normal right now just coming off of a very abnormally low quarter (37:03).
Anita Soni - Credit Suisse Securities (Canada), Inc: So this throughput level is probably what will persist. So, just moving on to, again, on PV as well, so you're mining at about 3.2 gram per tonne material, you're processing 4.7 (37:18), so obviously you're stockpiling some of that lower grade material, but the reserve grade's at 1.93 (37:25), when do you expect to get to that reserve grade at PV?
Matthew Gili - Barrick Gold Corp.: It's a good question. So, you know that our mine plan for PV is that we mine considerably more tonnes than we produce. And we do that because it allows us to process the highest-grade material first. And so, I don't have the exact date – timeframe, in which we get down to 1.9 (37:51), but you will see a gradual decline in the hedge rate process at PV as we go forward in time. So we counter – the counter to that is what Greg and his team are doing in PV, and that is about increasing the efficiencies of the Autoclave. Total focus, you heard him mention some of the growth projects in PV. These are all centered around increasing our ability to process material through the existing autoclave facilities (38:20).
Anita Soni - Credit Suisse Securities (Canada), Inc: And then my final question is just to Richard. I'm a little confused about what good faith payment means. So, is that your best estimate right now of what the total extent of the back taxes would be or is that a down payment. And there is an expectation that that would be increased as the total amount?
Richard J. Williams - Barrick Gold Corp.: Yeah, thanks, Anita. The $300 million is best looked at as a down payment. But it's our expectation in discussions with the Tanzanian government that the total number of any resolution could be brought into that level. Now, that's a relatively nonspecific answer deliberately because we're in discussions with the Tanzanian government looking at tax disputes, goes up to many multiples of billions, in terms of what is put out there in the public domain. When having discussions with the Tanzania government, that $300 million appeared at this moment to us both to be a reasonable figure with respect to a down payment on settling those disputes.
Anita Soni - Credit Suisse Securities (Canada), Inc: Thank you very much. I'll leave it to someone else now.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Anita.
Operator: The next question comes from Mike Jalonen with Bank of America.
Michael Jalonen - Bank of America/Merrill Lynch Canada: Thanks. Good morning all. Just two questions on JVs, change around a bit. Turquoise Ridge, the third shaft project looks quite interesting. I just look at the Newmont, third quarter just came out and they got a long list of projects they're talking about, but I don't see that project in there. So, just wondering of what Newmont thinks and if their approvals are required? Then moving to Cerro Casale, your new partner Goldcorp has booked 50% of their reserves from Cerro Casale. Even though, from my vantage point they bought 25% of Kinross. They haven't paid you guys or made property payments of $520 million yet, for those 25% from Barrick, so, I guess, just wondering what you think of that. And whether, Barrick will be booking 50% or 75% of Cerro Casale reserves at year-end 2017. Thanks.
Kelvin Dushnisky - Barrick Gold Corp.: Hi, Mike. Look, two questions. The first one related to Turquoise Ridge, I'm going to turn over to Henri Gonin, GM at Turquoise.
Henri Gonin - Barrick Gold Corp.: Yes. Good morning. The third shaft project is – we work with the Newmont evaluations team through all phases of the project and final financial approval for the project from the Newmont site is scheduled to be delivered in early January or late January, is the schedule that – the latest schedule that we've got from them.
Kelvin Dushnisky - Barrick Gold Corp.: Great. Mike, you're fine with that?
Michael Jalonen - Bank of America/Merrill Lynch Canada: Oh, yes. Thank you. That was good. Newmont has an Investor Day in New York in a few months, so we'll see what they say there.
Kelvin Dushnisky - Barrick Gold Corp.: Great. The second question related to Cerro Casale. Rich, I think you're involved in the – with the JV discussion, do you want to comment on that?
Richard J. Williams - Barrick Gold Corp.: So, the question now is about why they've booked reserves. I'm sorry.
Kelvin Dushnisky - Barrick Gold Corp.: Apologies. Mike, could you just repeat the Cerro Casale question.
Michael Jalonen - Bank of America/Merrill Lynch Canada: Yeah. Well, basically right now Barrick's booking is 75% reserves of Cerro Casale and Goldcorp is at 50%. So, I guess that's new value creation in the gold sector 125%. But I'm just wondering what...
Catherine P. Raw - Barrick Gold Corp.: So, it's a bit of a cheeky, Michael. So, my answer to this is, year-end update our reserves, and at year-end we'll update them appropriately for the (42:04) 50%.
Michael Jalonen - Bank of America/Merrill Lynch Canada: I guess, so they just haven't paid their money yet, so I'm just wondering how they can book it, but I don't know if it's a cheeky question.
Catherine P. Raw - Barrick Gold Corp.: As I said, it's a cheeky question, Michael, it's not one for us to answer.
Michael Jalonen - Bank of America/Merrill Lynch Canada: Okay, thanks.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Mike.
Operator: The next question comes from Kerry Smith with Haywood Securities.
Kerry Smith - Haywood Securities, Inc.: Thanks, operator. Richard, you talked about the vote, with Acacia, you talked about the vote that would be required by Acacia shareholders. How is – what is the threshold? Is it by majority of the disinterested shareholders? So, you guys – or if you guys actually get to vote, so it's a fait accompli?
Richard J. Williams - Barrick Gold Corp.: Yeah. Thanks, Kerry. Our understanding is that we will get to vote.
Kerry Smith - Haywood Securities, Inc.: Okay, okay. And then the second, it's more kind of a comment or maybe I'm looking for your view on it, but the $300 million good faith payment. To me, it seems like it's something you should not pay until the concentrate ban is lifted because I don't quite understand how that makes any sense actually to make that payment before the export ban is lifted. But it sounds like from what I've read that that payment would be made before the ban is lifted, and I'm just curious why that makes economic sense?
Richard J. Williams - Barrick Gold Corp.: Kerry, I really appreciate the opportunity to clarify that the $300 million can't be paid its – in fact, the ability to pay, sits within those concentrates that are not being sold right now. And so the two things are connected. And I think that's important that everybody understands that. So, thank you very much.
Kerry Smith - Haywood Securities, Inc.: Okay. So, that wasn't clear to me, but maybe it was clear to other people. And then...
Catherine P. Raw - Barrick Gold Corp.: So, we did articulate that in the press release, Kerry. So, we try to clarify.
Kerry Smith - Haywood Securities, Inc.: Okay. Okay. Okay. And just, in terms of this 50/50 partnership that you plan that...
Richard J. Williams - Barrick Gold Corp.: Yeah.
Kerry Smith - Haywood Securities, Inc.: ... you're talking about forming with the government. Am I correct in assuming then that any new project to be developed in Tanzania if there was something to be developed that you know Acacia would put up 100% of the capital for 50% of the economic or how would...
Richard J. Williams - Barrick Gold Corp.: Yes. Kerry, with respect to that; that's a very good point. So, let's just look at the outline in terms of Tanzanian law. They did a – the Tanzanian government under their law are allocated 16% free carried interest in all mining operations and that'll be held at asset level. With respect to the distribution of cash flows through royalties, corporation tax, dividend payment and so on. The Tanzanian government will get $0.50 in the $1 and we'll get $0.50 in the $1. The capital investment into any new project in Tanzania, the cash flow generated from it will be distributed on that basis. So really it is, when you're looking at the sale of gold, 50% of the value of any dollar of gold sold through the distribution of corporation tax, royalties, and so on and so forth will go to Tanzanian government. That's the way we look at it. And again, just to affirm, Kerry, all of these things are proposals. And again, it's been very clear to both the Tanzanian government and ourselves that these proposals need to be worked through and approved by the independent committee of Acacia. And there is more work to be done yet in terms of confirming the structure of each of those companies in Tanzania to ensure that the shareholder agreements and so on and so forth reflect these proposals and draw approval by the independent committee of the Acacia board.
Kerry Smith - Haywood Securities, Inc.: All right. Okay. Okay. I get that. So effectively, there's no preferential return on capital initially back to the entity that provided the capital to Acacia?
Richard J. Williams - Barrick Gold Corp.: That's right.
Kerry Smith - Haywood Securities, Inc.: 50/50 split, okay. So, I guess how would you think about the hurdle rate for new projects in Tanzania based on, I mean presumably would have to be significantly higher than we'd normally look for in order to make it make sense I guess.
Richard J. Williams - Barrick Gold Corp.: Well, I'll start off, and then hand over to Catherine. I think in terms of all of them, management of all the rates, they need to be risk weighted, whether it's in Tanzanian or elsewhere. And so, I kind of answered the general point on the question, but Catherine perhaps you – as the other member of the investment committee might like to expand.
Catherine P. Raw - Barrick Gold Corp.: Yeah. Well, the way I would look at it, very much look at what the discounted cash flows would be back to Barrick. So clearly, when we look at the hurdle rate, we look at the risk adjusted hurdle rate, and we consider what are those cash flows back to Barrick. It's going to be a greater challenge for other jurisdictions with lower all-in tax rates.
Kerry Smith - Haywood Securities, Inc.: All right. Okay. Okay. That's good. That's all. Thank you.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Kerry.
Operator: The next question comes from Steve Butler with GMP Securities.
Steven Butler - GMP Securities LP: Good morning everybody. Question for you guys on, again, maybe Catherine, to elaborate on risk adjusted hurdle rates. Could you describe your view of Pascua-Lama underground and Lagunas Norte talks, would those be different risk adjustable hurdle rates, maybe you can specify or not for us, the numbers?
Catherine P. Raw - Barrick Gold Corp.: I'm not going to give you specific numbers, but I think very clearly by the fact that we're continuing to study and we're continuing to devalue engineering continue to face development in order to limit capital in the near term illustrates our view on the risk adjusted hurdle rates, relative to those that we're accelerating and seeking to develop now. So yes, it's no coincidence that Nevada is moving forward, whilst we're considering a phased development of Lagunas Norte, and while we continue to (48:09) Pascua-Lama. So, I'm not answering your question directly, but I have the answers implied.
Steven Butler - GMP Securities LP: Implied I guess. Yes. Thanks. And then, on the $300 million good faith payment or payment that's been negotiated or talked around with the Acacia, the Tanzanian authorities. Is that any references – can you guys give us a sense of what was the basis for $300 million and is it a bit of a catch up on a 50/50 on a backward looking basis?
Richard J. Williams - Barrick Gold Corp.: There's a couple of points that one should stay on, is that, over many – quite a few months now the Barrick tax working group has had the opportunity to review the various claims made by the Tanzanian government against Acacia. And, it's clear that there are many of these areas that still need to be worked through to us to come to a common understanding on the points of fact and a common understanding on the points of law. That is why the Tanzanian government has said, we should extend the process of tax review from now and on for as long as it takes. The $300 million number was, again, come to on the basis of what – on the basis of probability both parties agreed could be the region of a settlement. But again, it would be premature of anybody to sit and say that is a final position.
Steven Butler - GMP Securities LP: Right.
Richard J. Williams - Barrick Gold Corp.: Which is why we refer to it as a down payment. There's more work to be done yet. Second point on it, that's already been made with respect to it's tied to the concentrate sale, that's important. And the third point, and this is an initial payment, it isn't one payment, a one-time payment. Again, in consultation with the Tanzanian government they recognize that a one-time payment is unsustainable, and there's a need to look at this over time.
Steven Butler - GMP Securities LP: Thanks, Richard.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks Steven.
Operator: The next question comes from John Levin with Levin Capital.
John Andrew Levin - Levin Capital Strategies LP: Yeah. You're 50% owner of NovaGold. How's that project going in Alaska?
Kelvin Dushnisky - Barrick Gold Corp.: John, it's going well. The fermenting is continuing. Right now, the project is still on track for a record – a decision approval in the third quarter of next year. So, that's tracking along well. And in the meantime, the project team is also looking at optimization study, there's drilling program that's happening this summer as well. So, I'd say that Donlin is tracking right according to plan.
John Andrew Levin - Levin Capital Strategies LP: Great. No Chile, Argentina type problems, right?
Kelvin Dushnisky - Barrick Gold Corp.: No. Everything is on track.
John Andrew Levin - Levin Capital Strategies LP: Good. Thank you. Thanks for permitting me a (51:01) question.
Kelvin Dushnisky - Barrick Gold Corp.: No. Thanks, John.
Operator: Our next question comes from Tanya Jakusconek.
Tanya Jakusconek - Scotiabank: Good morning. I think that might be me.
Kelvin Dushnisky - Barrick Gold Corp.: Hi Tanya.
Tanya Jakusconek - Scotiabank: Good morning, everybody. Okay. Help me. So, I have just two clarification questions for Richard, if I may, coming back to Tanzania. Maybe Richard, can you just clarify. So, a committee of the independent Acacia board members must approve any proposal – or any proposed deal, and then it goes to vote to all of the shareholders, which you of course are a majority, and then, we have a majority including yourself as an outcome. Is that correct?
Richard J. Williams - Barrick Gold Corp.: Yes, that's correct. That's the protocol under the UK Listing Authority rules. And the independent board need to deliberate on it. And because of the size of the value transfer, it is a size that needs to go to a shareholder vote, by our understanding. We're not (52:17). Say again?
Tanya Jakusconek - Scotiabank: And so it's a majority of all shareholders?
Richard J. Williams - Barrick Gold Corp.: That's right.
Tanya Jakusconek - Scotiabank: And which you have 64%. So, the deal is done on your vote. Is that...
Richard J. Williams - Barrick Gold Corp.: Again -
Tanya Jakusconek - Scotiabank: Okay.
Richard J. Williams - Barrick Gold Corp.: Hang on a second, Tanya. It depends entirely upon whether we think the proposal is what we want to do. Yeah.
Tanya Jakusconek - Scotiabank: Yeah, of course, yes. And then, just coming back to the 50/50 split with the government. Can you confirm whether the split 50/50 is equivalent to 50% of revenue or is it 50% of cash flow after operating expenses?
Richard J. Williams - Barrick Gold Corp.: So, it's the latter, Tanya. And again, it's been very interesting. I just want to give you a bit of a feel for the process too, and as to how other Tanzanians have been on this. I want to emphasize that the actual nature of the discussions have been very positive, have been very open. And we spent a long time working through the specifics of all the lack of mine plans, and so on and so forth, to ensure that when we're looking at a 50/50 distribution of forward cash flows they understand precisely what it means, and we understand precisely what it means. So, it hasn't been done in a light way and it has been the focus – what you can imagine, Tanya, to be quite a lot of work in terms of exchange of information and increased transparency, which has actually made a considerable difference to where we've managed to get to.
Tanya Jakusconek - Scotiabank: Okay. And then, I guess my last question, going back to Nevada. Obviously, your contract with Newmont with using the Twin Creeks autoclave is coming up at year-end, I think December 31. Can you just remind us how the negotiations are going?
Kelvin Dushnisky - Barrick Gold Corp.: I can comment on that, Tanya, discussions are ongoing, and we're hopeful that we'll reach an agreement by the end of the year; constructive engagement at this point.
Tanya Jakusconek - Scotiabank: Okay, great. Thank you.
Kelvin Dushnisky - Barrick Gold Corp.: You're welcome. Thanks, Tanya.
Operator: The next question comes from Brian MacArthur with Raymond James.
Brian MacArthur - Raymond James Ltd.: Hi, good morning. I apologize to go back to Acacia again. But just so I'm clear, overall it's 50/50, but is the 16% free carried right off the top, and then everything else is trued-up below the line? Is that sort of the thinking or what exactly does that mean?
Richard J. Williams - Barrick Gold Corp.: In terms of the distribution of cash flow, the Tanzanian government get the cash from a number of sources, one of which is royalty; other, which is corporation and other associated tax; and third, which is dividend payments that come to them as a result of being 60% shareholders -
Brian MacArthur - Raymond James Ltd.: Okay. And secondly, in the MD&A talked about creating a new operating company for all that three mines, is it done on a mine-by-mine basis or a consolidated basis, when you go through this process?
Richard J. Williams - Barrick Gold Corp.: Mine-by-mine basis.
Brian MacArthur - Raymond James Ltd.: So if you're – so – but it would all be trued up, so you're making a lot of money in one mine, but spending cap on the other. It's not like you do it on a mine, mine, mine basis and get the money out, it's sort of all trued up before you split it all up? That's a tactical question (55:44).
Richard J. Williams - Barrick Gold Corp.: Again, we're slightly into the specifics associated with ongoing proposal development. But be clear that under the Tanzanian law, which is what we're working towards, and again, in terms of the proposal, the 16% equity is held at the asset level, at the operational level at each of the operation; Bulyanhulu, North Mara and Buzwagi. And so, in terms of actually how the operating company works, in terms of the allocation of capital to each of those assets. If you imagine the operating company working, you should end up with the Tanzanians and the operating company managements and executives reviewing the operating performance and cash flows from each of those assets. So then, we distribute them across the three of them in terms of investment decisions, if necessary. But again, it's 16% held at each of the asset levels.
Brian MacArthur - Raymond James Ltd.: Great. Thanks very much, Richard. That helps.
Kelvin Dushnisky - Barrick Gold Corp.: Thanks, Brian.
Operator: The next question comes from Emma Townshend with HSBC.
Emma Townshend - HSBC Securities (South Africa) (Pty) Ltd.: Hi. Good morning. Sorry, more Tanzanian questions if possible. One of the big outstanding issues and the potential source of cash is the VAT balances. And in terms of the new proposed legislation, the VAT exemption of those costs was changed. It appears that you seem to be going along with a lot of the proposals in that July legislation. Has there been a discussion on VAT exemption going forward because that has a huge impact on cost and profitability?
Richard J. Williams - Barrick Gold Corp.: Yes. It does. And yes, we have. And with respect to how we manage the 50/50 share going forward; in the proposal, agreed with the Tanzanian government, we're taking account of the VAT receivables, we're taking account of the net operating losses going forward. And that also factors into the 50/50 cash flow valuation in the model. But you're right to say that there are discussions that need to happen, following on this position with the Tanzanian government associated with affirming those in law. And it will be premature of me to sit and say that those discussions are complete, which is one of the reasons why we're saying that all of this will continue on its way and not be complete, not just withstanding the corporate, the corporate legal requirements for independent committee review and shareholder vote, but also discussions within Tanzania as well. This process is ongoing. But what I wanted to say to you is that the way in which this is being reviewed by our opposite numbers in Tanzania is with complete transparency to all of these leaders and consideration of how they work and apply within the operating model, more significantly, the financial model going forward. But thanks for your question.
Operator: Our next question comes from Anita Soni with Credit Suisse.
Anita Soni - Credit Suisse Securities (Canada), Inc: Hi sorry, I had a follow up, but it was actually asked and answered. Thanks.
Kelvin Dushnisky - Barrick Gold Corp.: All right. Well, thank you Anita, and thank you, operator. Likewise, I'd like to thank everybody who participated on the call today. We look forward to updating you on our full year 2017 results in the New Year. And we appreciate everybody participating. Thank you very much.
Operator: This concludes today's conference call. Should you have additional questions, please contact the Barrick Investor Relations department. You may now disconnect your lines. Thank you for participating. And have a pleasant day.